Operator: Good morning. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to the Organigram Global Third Quarter Fiscal 2025 Earnings Conference Call. [Operator Instructions] Thank you. Max Schwartz, you may begin.
Max Schwartz: Thank you, Krista, and good morning, and thanks for joining us today. As a reminder, this conference call is being recorded, and a recording will be available on Organigram's website 24 hours after today's call. Listeners should be aware that today's call will include estimates and other forward-looking information from which the company's actual results could differ. Please review the cautionary language in our press release dated August 13, 2025, on various factors, assumptions and risks that could cause our actual results to differ. Further, reference will be made to certain non-IFRS measures during this call, including adjusted EBITDA, adjusted gross margin, adjusted gross margin percentage and free cash flow. These measures do not have any standardized meaning under IFRS and are intended to provide additional information and as such, should not be considered in isolation or as a substitute for measures of performance prepared in accordance with IFRS. Our approach to calculating these measures may differ from other issuers, so these measures may not be directly comparable. Please see today's earnings report for more information about these measures. Listeners should be aware that the company relies on reputable third-party providers when making certain statements relating to market share data. Unless otherwise indicated, all references to market data are sourced from Hifyre in combination with data from Weedcrawler, provincial boards, retailers and our internal sales figures. Today, we will be hearing from key members of our senior leadership team, beginning with Beena Goldenberg, Chief Executive Officer, who will provide opening remarks and commentary, followed by Greg Guyatt, Chief Financial Officer, who will review our financial results for Q3 fiscal 2025. All references to the term Q3 will indicate Q3 fiscal 2025, unless otherwise indicated. Similarly, all references to market share data will refer to Q3 performance unless otherwise indicated. With that, I will now introduce Beena Goldenberg, Chief Executive Officer of Organigram Global, Inc. Please go ahead, Ms. Goldenberg.
Beena G. Goldenberg: Good morning, everyone, and thank you for joining us for Organigram's Q3 Fiscal 2025 Earnings Call. We are pleased to report another record-breaking quarter in both gross and net revenue, reflecting continued leadership in our growing domestic market and meaningful international expansion. Today, I'll begin with an update on our Canadian business, followed by some operational highlights and then turn to the progress in our international business. Greg will take us through the financials after that. So let's begin. In Q3, Canada's recreational cannabis market grew 6.6% year-over-year, reaching $1.4 billion in retail sales. Organigram maintained its position as the #1 licensed producer nationally with 11.6% market share, a 2.5 point lead over our closest competitor. We continue to lead in pre-rolls and vapes, which represent more than half of total cannabis sales in Canada. In Q3, we held 20.4% of the national vape segment and 8.3% of the pre-roll segment. In flower, representing over 30% of the market, we grew our share up to 10.6%, up 60 basis points from Q2. Our Big Bag of Buds brand was a major contributor, ranking as the #3 flower brand in June with 5.1% of the category, while our SHRED brand dominated in milled flower with over 40% share. SHRED remains one of the industry's top brands and the stickiest brand in Canada by repurchase rates. As of the end of June, SHRED had a 69% repurchase rate across all categories in which it participates compared to an average industry rate of in the low 50s. Further, SHRED's performance in milled flower resulted in an impressive 81% repurchase rate over the last 10 months. This means that for every 10 SHRED milled flower purchases in June, over 8 were repeat customers, speaking to both the quality and consistency of our product. While we maintain a top 3 market position in every major category, this quarter was not without some challenges, namely the integration of Motif into Organigram's ERP system. This caused temporary disruptions to our on-time in full, so our customer performance in May, particularly impacting box hot sales. This resulted in a 30 basis point decline in overall market share in Q3 versus Q2 despite sequential growth in flower, edibles and concentrates. Now by mid-June, service levels normalized. And with the ERP transition now complete, we are focused on gaining share in the affected categories through improved inventory management, retail sales programs and a strong innovation pipeline. By the end of July, we gained 40 basis points in overall market share, more than just offsetting the decline to end the month holding 12% of the national rec market. In edibles, the fourth largest category, we gained 50 basis points sequentially to reach 16.1% share. We recently launched SHRED Mac 10 party packs, offering 100 milligrams of THC across 10 individually wrapped gummies in container. The response has been strong with initial shipments selling out within 2 days in Alberta and BC. As of the end of July, Organigram achieved its highest edibles market share of 18.2% in the last 12 months. We're now rolling out to additional provinces and believe this format is resonating with consumers who previously turned to the illicit market for higher THC per package products. Now while we're on the topic of ingestible formats, our collective Project and Fetch beverages are beginning to show some post- acquisition growth as of the end of June with 20 and 30 basis points of growth, respectively, versus the prior month. As of the end of June, we held a 6.2% share of the beverage market. Despite beverages being a relatively small category today, we remain bullish on the long-term opportunity, especially given the ongoing momentum of the category, not only in Canada, but in the U.S. as well. In the U.S., the hemp-derived cannabis beverage segment has seen explosive growth driven by the proliferation of unique products and most importantly, retail access that's convenient for beverage consumers, that is in traditional retail locations that also carry alcohol products. Here in Canada, we are already seeing some tailwinds for the category with more and more provinces indicating a willingness to embrace favorable regulations towards cannabis beverages. Notably, Alberta, which now allows sales at festivals and events by licensed retailers within 18-plus zones; and British Columbia, which is actively consulting on a framework to permit event- based sales. New Brunswick has signed a desire to encourage category growth and conversion with -- sorry, New Brunswick has signaled a desire to encourage category growth and conversion with the minister responsible for Cannabis New Brunswick and economic development publicly stating that he envisions a wine region approach to cannabis to boost tourism in the province. As well, Cannabis New Brunswick's strategic plan commits to exploring on-site consumption opportunities for cannabis beverages and the province is exploring a pilot model for co-locating cannabis and alcohol beverages in what they are calling a Category 3 store format. Manitoba has also shown early signs of interest in identifying regulatory opportunities to support sector growth, and we are encouraged by preliminary discussions that suggest a willingness to explore pathways for this category. While Ontario and other jurisdictions have not yet made public moves in this space, interest in the broader category growth continues to build nationally. Regionally, we maintain a #1 market share position in Western, Central and Atlantic Canada, including Ontario, Alberta and BC, the country's 3 largest markets. In Quebec, we remain #4, and we expect further gains upon the launch of vapes in the fall, where we've secured multiple new listings. So to summarize, in Q3, we maintained our #1 overall market share by a wide margin, expanded that margin in July and held the #1 positions in vapes, pre-rolls and concentrates as well as top 3 positions in flower and edibles. Honorable mention goes to our #4 position in our growing beverage business. And with that, I'll turn to operational updates. Organigram operates 5 specialized and highly advanced facilities across Canada, covering every major product category and serving medical flower markets internationally. In Q3, we harvested over 24,000 kilograms at our Moncton facility alone, a 15% increase over Q2 and a company record. This growth is a direct result of our continued optimization efforts. 54 grow rooms were upgraded with higher intensity LED lighting in Q3 with another 20 rooms scheduled for completion in the fall. This is expected to increase annual capacity up to 7,000 kilograms. Once complete, all 144 of our grow rooms will be equipped with high-intensity LED lights. Additional nutrient optimizations and improved grow room utilization are expected to add another 7,300 kilograms in combined annual capacity. So in total, we have added over 14,000 kilograms of annual capacity. Due to these capacity enhancements, we are reevaluating the previously disclosed $8 million CapEx investment and timing related to grow room expansion. Average THC across our entire Moncton facility during Q3 exceeded 29%, a new record, demonstrating our ability to achieve facility-wide high-potency cannabis at commercial scale. To round out our portfolio, we are expanding our offerings in the higher-margin premium segment and launched new limited run 14-gram trailblazer SKUs in BC, a market that demands premium cannabis. Early consumer response has been excellent, and we expect strong future potential for this craft-inspired approach alongside our core Big Baga breads and SHRED flower portfolios. In Winnipeg, we will begin the commissioning phase of our new beverage production line in September. This will give us the flexibility to trial new formulations, including novel emulsions and fast-acting formats while continuing to rely on our co-manufacturing partners for larger scale runs. Our Winnipeg facility is evolving into a manufacturing hub for commercialization of our ingestible innovation. Turning to our Ontario operations and the continued integration of Motif. At our Elmer facility, expansion of hydrocarbon extraction capacity is nearly complete and is expected to be finalized later this month. Once operational, this expansion will boost hydrocarbon capacity by approximately 87% and is expected to reduce COGS by up to $2.7 million for key products. In May, we moved vape filling from Moncton to Elmer, capturing scale efficiencies and streamlining operations. Biomass transfers from Moncton to Elmer, which began in February, are projected to save $1.4 million annually as we lower Motif's dependence on B2B biomass purchases. In May, we introduced dry infusion in various IPR products in Elmer. Dry infusion is a beneficial process that leverages our hydrocarbon extraction expertise and also acts as a flavor and potency carrier without changing the consistency of the biomass. This has allowed more of our products to be produced in-house on internal equipment, reducing Motif reliance on third-party manufacturers. And finally, our London distribution center CapEx project is scheduled for completion in the fall. It's expected to improve our OTIF service rate, unlock additional capacity optionality at the Moncton facility and reduce freight costs, driving an estimated $3.4 million in annual savings. With these operational initiatives and SG&A savings, we have already realized synergies of $4.2 million or approximately $11 million on an annualized basis, which will begin flowing through our P&L in the next 6 months. We remain on track to meet the previously disclosed $15 million synergy target from the Motif acquisition. International expansion remains a key pillar of our strategy. In Q3, we delivered $7.4 million in international revenue, a 208% year-over-year increase and a 21% sequential increase. This growth is being driven primarily by exports to Germany, alongside contributions from Australia and the U.K. Our growing flower presence in Germany is supported by the supply agreement negotiated as part of our $21 million investment in German cannabis leader Sanity Group. To bolster our expanding international footprint, we established a dedicated international business unit in Q3, including personnel in the U.S. and Australia. Our hemp-derived beverage portfolio is just beginning to gain attention from U.S. consumers. Collective project beverages are now available in 25 states through a mix of our newly launched direct-to-consumer website, www.collectiveproject.ca, and retail channels, including leading chains like top 10 liquors, total wine and more. We've expanded our portfolio from 2 to 9 SKUs and now offer a lineup of sparkling juices, sparkling lemonades and Fetch, a sugar-free soda line that provides budget-friendly beverages with classic flavors like cream soda, cola and lemon wine. For Australia, we've completed sensory trials on the first 3 vape SKUs that we plan to launch into their medical market and are finalizing our first shipment of raw materials to begin co-manufacturing vapes with a local partner this fall. This will be our first branded vape entry into Australia, and we plan to bring additional brands and products into the market next year. We also signed a new supply agreement with an Australian partner focused on THCV, leveraging our strategic investment in Pilos and our proprietary genetics. In Q3, we completed our first international shipment of a seed-based cultivar that has experienced large-scale success in Canada. This shipment represents an important step in demonstrating the scalability and quality of our seed-based approach to global partners. Approximately 27% of month ends harvest was seed-based in Q3, which contributes to lower production costs and in the long term, more stable genetics and consistent output, all essential attributes for international medical markets. We believe international revenue growth will be bolstered by our pending EU GMP certification. We are awaiting confirmation from the regulator as to next steps required prior to certification. Once granted, we expect to see an increase in both volume and margin from our international flower exports. Lastly, we continue to evaluate a pipeline of strategic international investment opportunities related to our Jupiter investment pool, which currently has $59 million available to deploy. So to summarize, we have a number of strong initiatives underway on capacity, margin expansion and international growth. Our approach remains focused on balancing the strength of our domestic business anchored by reliable, consistent brands with the opportunities we see internationally. While we experienced some challenges related to the integration of Motif in the quarter, our market share gains in July, expected synergies and growing international footprint give us confidence that our long-term trajectory remains very strong. And with that, I'll turn it over to Greg to walk you through the financials.
Greg Guyatt: Thanks, Beena, and thank you to everyone for joining us today. We are pleased to once again report record revenue results with significant year-over-year and sequential adjusted EBITDA growth, and we remain confident in our path forward consistently delivering profitable quarters. In Q3, gross sales increased 73% year-over-year and 7.2% sequentially to reach a record $110.2 million. Net revenue was also our highest ever, growing 72% year-over-year and 7.9% sequentially to $70.8 million. These results were driven by contributions from our Motif and collective project acquisitions and leveraging market growth and seasonality with the strength of our brands, nationwide distribution and broad category presence. Our international business also continues to scale, growing to $7.4 million in the quarter, a 208% year-over-year increase and a 21% increase sequentially. We expect both our domestic and international businesses to continue expanding in the coming quarters. As Beena mentioned, with the interruption in our OTIF level for Motif brands restored in June, we are already recapturing market share. We expect further gains driven by the introduction of vapes in Quebec, momentum in edibles and innovations in pre-rolls and flower to drive domestic performance. On the international front, we've seen no slowdown in demand and have actively pursued capacity expansion projects to balance servicing our domestic consumers while we grow flower exports and soon more branded derivative product sales abroad. Growth in this area is expected to have a margin-enhancing effect, but we remain steady and cautious about shifting too much of our supply to international markets at the cost of our domestic brands. We expect larger international flower volumes to ship in Q4 and beyond, and we will manage this growth sustainably. That's what we are known for, and that's one of the ways we are continuing to build a stable business in a shifting market. Outside of international flower, we're just getting started with branded products. Our U.S. beverage business began contributing to revenue this quarter, and we are anticipating expansion in branded international sales in fiscal 2026. That covers net revenue for the quarter and our expectations moving forward. Now let's discuss how it flowed through the P&L. Adjusted gross margin for the quarter in dollar terms increased to $24.2 million versus $14.6 million in Q3 last year due to a higher revenue base. Adjusted gross margin rate decreased approximately 200 basis points to 34% compared to the prior period, which was up about 100 basis points sequentially. The primary driver for the year-over-year decline in margin percentage was a temporary drag from Motif as synergies have yet to flow meaningfully through the consolidated P&L. While Organigram stand-alone adjusted gross profit margin was approximately 37% in the quarter, Motif came in at 29%, driven by a 200 basis point margin impact from external white label brands, which continues to be accretive for us and round out our capacity utilization. Also contributing to the extraction margins was an increase in the cost of biomass due to current supply and demand dynamics, partially offset by internal sourcing of biomass from our Moncton facility. As stated in prior disclosures, we are forecasting adjusted gross margin to average approximately 35% for fiscal 2025 and expect adjusted gross margin percentage to approach 40% in the second half of next year, fiscal 2026. G&A costs in the quarter increased sequentially to $15.7 million from $15 million in Q2. The increase was primarily attributable to an incremental investment in our ERP enhancement project versus the previous quarter as well as the integration of Motif into Organigram's infrastructure. As a proportion of net revenue, G&A costs represented roughly 22% of net revenue in Q3, flat both sequentially and year-over-year. We expect the latest phase of our ERP project to be completed in the first quarter of fiscal 2026. Selling costs for the quarter, including marketing, were $8.8 million versus $7.5 million last quarter. The increase was attributable to higher advertising and promotional expenses in line with industry seasonality. As a percentage of net revenues, selling and marketing expenses increased 1% sequentially to 12.4% and remained flat year-over-year. Total operating expenses for the quarter increased 8.5% to $28.2 million from $26 million in the prior quarter, representing approximately 40% of net revenue in both periods. Compared to the prior year, total operating expenses as a percentage of net revenue decreased by roughly 5%, primarily due to proportionately lower wages and benefits. We expect operating expenses to decrease as a percentage of net revenue in the coming quarters as we grow revenue, manage costs and realize the synergies from our acquisitions. Adjusted EBITDA in the quarter was $5.7 million compared to $3.5 million in the prior year period and $4.9 million in Q2. This year- over-year increase of 64% was primarily due to higher international sales, higher recreational net revenue and increased operational efficiency. With $12.1 million in adjusted EBITDA in the first 9 months of fiscal 2025, we have already outperformed the $8.4 million we achieved in the full year fiscal 2024 by 44%. Net loss for the quarter was $6.3 million compared to net income of $2.8 million in the prior year period. The largest contributing factor in both periods was the noncash change in fair value -- in the fair value of derivative liabilities, primarily associated with BAT's top-up rights and the issuance of preferred shares associated with their follow-on investment. From a cash flow perspective, cash flow from operations was $14.6 million in the quarter compared to cash used of $3.7 million in the prior year period. The change was primarily driven by improvements in working capital associated with normal seasonality as well as the benefit from aligning Motif's excise tax payment timing to quarterly versus monthly. We have previously discussed our forecast of positive cash flow before changes in net working capital, which we expect to achieve for Q4. For the year, we expect cash flow before working capital to be at or around breakeven level and positive after working capital changes. Now that our business is becoming more stable, we are shifting our focus to free cash flow, being cash flow from operations less capital expenditures. In Q3, we generated free cash flow of $5 million and expect to generate positive free cash flow in Q4 and throughout fiscal 2026. On the topic of cash, we continue to maintain a strong balance sheet and remain comfortable that our liquidity is sufficient to achieve our near to midterm growth objectives and deliver consistently profitable operations in the coming quarters. As of quarter end, we had total cash and short-term investments position of $85.9 million, of which $35.9 million was unrestricted. The Jupiter pool has $59 million available for international strategic investments, of which $10 million is now temporarily unrestricted to provide additional working capital flexibility to the company. With that, I will turn the call back to Beena.
Beena G. Goldenberg: Thank you, Greg. As we conclude today's call, I want to express my deep gratitude to everyone who has supported Organigram's journey, our shareholders, customers, employees and industry partners. Together, we have demonstrated what's possible in building sustainable, well-regulated cannabis industry that drives economic growth, creates jobs and provides a safer alternative to the illicit market. On a personal note, as many of you know, I'll be retiring near the end of the year. It's been a true privilege to work alongside such an exceptional team and to witness this company's remarkable progress over the past 4 years. I remain extremely optimistic about Organigram's future. Our strong sales execution, operational performance, ongoing efficiency improvements and leadership and industry advocacy position us well for continued success. Canada has a unique opportunity to set the global standard for the cannabis sector, and I am confident that Organigram is on the right path to capitalize on this potential. Thank you all for your continued support and confidence in our vision. And with that, I'll now open the call for questions.
Operator: [Operator Instructions] Your first question comes from Frederico Gomes with ATB Capital Markets.
Frederico Yokota Choucair Gomes: I guess the first question on your adjusted gross margins, and I guess the outlook here. I guess you're still expecting the full year adjusted gross margin to be in that 35% range. It does seem to imply a significant, I guess, expansion in Q4. So could you just talk about that, the drivers behind that and how confident you are in reaching that gross margin expansion?
Greg Guyatt: Sure. That's right. We're continuing to forecast 35% approximately average for the year. And it's really driven by a couple of things. One is the normal seasonality of our business, we expect to drive more throughput in the fourth quarter. We're also going to be starting to realize some of the synergies from the Motif acquisition as well. We've realized about $4 million year-to-date so far, but a good chunk of that is actually still sitting in inventory because it's production related. So we'll see some of that starting to flow through in the fourth quarter and as well into Q1 of next year. Also, product mix plays a role. We're continuing to increase our international business, which has a positive impact on margins. and also starting to realize some of the benefits from the capacity enhancement projects in Moncton. I think a really important point here as we go into next year, our scale is going to continue to improve. And as I mentioned, we're really expecting margins to start to ramp up in the back half of next year, starting to approach that 40% level. So ultimately driven by cost improvements, lower cost per gram and some of the capacity enhancement projects that we mentioned about really affecting our Moncton facility.
Frederico Yokota Choucair Gomes: Got it. I guess the second question, just if you could talk about how you are looking at your cultivation capacity right now? Because I know that -- you made some improvements there. At the same time, I think, Dino, you mentioned that you are reevaluating some previous plans to invest in CapEx there. At the same time, I guess we're seeing an improvement in prices in Canada and then strong international demand. So how do you balance that? And how are you looking at that right now?
Beena G. Goldenberg: Yes, sure. So listen, there is growing international demand. And as we constantly say, we're balancing that demand between what we need for our domestic market and what we need for international markets. So we've done some capacity expansion projects that have generated an additional 14,000 kilograms for us for -- as we look forward next year. Clearly, there's opportunity to add more. But what we said last quarter was we were going to invest $8 million in adding 9 grow rooms to our Moncton facility. And at this point, we're reevaluating that investment to figure out the best use of the space that becomes available once our London distribution warehouse gets up and running. We'll have space in Moncton. And we're not sure if it's fully growing capacity or if it's drying capacity. So we're still working through deciding what is the optimum increase that we require to capitalize on international opportunities. But it's clear. There is opportunities to sell more flower, and we're going to look at the most cost-effective way to generate more kilograms so that we could take advantage of the growing international market and not walk away from the domestic market. So it's an ongoing project. We're pretty happy with the fact that we were able to just through optimization projects, get an extra 14,000 kilos out of our Moncton facility. We're also getting a few more kilos out of our La Superior facility. So this is an ongoing project to take advantage of our current assets, sweat those assets and decide how to optimize them further.
Operator: Your next question comes from the line of Aaron Grey with Alliance Global Partners.
Aaron Thomas Grey: So I want to piggyback off that last question from Fred a bit. So speaking specifically to the international opportunities, you did mention with the GMP certificate as you guys are still waiting. So first, if you can just give some expected timing on that because it seems like it's been delayed from what we were expecting before. And then second, regarding the increase in volume that you expect that you could achieve from that, could you maybe help us to kind of quantify how much of a lift we could expect there? How much revenue are you currently leaving on the table now or isn't as appealing because it's not as profitable right now because you're going through the middleman, that will become more appealing once you receive the certificate. So any color on that would be appreciated as we might be able to some -- expect some type of step change with international once you get the GMP.
Beena G. Goldenberg: Yes. Thanks for your question, Aaron. So here's the story. Listen, we would have liked to have already received our EU GMP certification. But when you're dealing with the regulatory authority, we don't control the timing of the process or how quickly they get to follow-up questions. We're certainly responding as questions are coming up. This is perhaps some speculation on our part. But clearly, there was an issue in Portugal with some of the GMP hubs that were closed because of lack of GMP compliance. And we think right now, the German regulators are just being that much more careful on compliance and granting the certification. We remain confident that we'll achieve the certification. So it's not a question, but timing is -- it will happen. As soon as it happens, I'm sure we'll let everybody know. So what does that mean? Certainly, once we get the GMP certification, we remove the middleman. Our pricing goes up. So we get a pickup on our margin on international because we take pricing, and it actually benefits our customer because their costs go down. So it's a win-win for both us and the customer. It will also make sure that the product goes directly through to the customer. So we don't have kilograms of product hung up in Portugal waiting to be converted and in line with many other companies' products that are waiting for conversion. So it's a quicker turnaround flow-through without delays. So it will allow us to get product out to the customers much more quickly. So you get the bump in pricing, and that will just be a benefit on the margin side. In terms of additional demand, there's certainly international demand, and it is obviously a higher-margin business today even without the GMP certification versus our domestic business. But it's a balance, right? We don't want to walk away from our branded business. We have a growing big bag of Buds brand in Canada that is attracting consumers and a shred brand that has great repurchase rates. So we're -- this is an ongoing balance, how quickly some of our peers have decided to walk away from the domestic market. We're not doing that. And so we will continue to capitalize on every incremental kilogram of capacity we could get out of our facility. We're going to manage how to grow our international opportunity. So that's going to be -- so does it give you clarity? I mean, we expect our international sales to continue to grow on flower. We are growing our capacity. We'll see more product going to international markets from our flower exports. But the other thing to think about is as we start to export derivative products, so the vapes and as we look at gummies, as we continue to grow our international business in the U.S. on beverages, we'll see that grow. It's less related to the amount of flower we have and great opportunities for good margin business in international markets on that front as well.
Aaron Thomas Grey: Okay. Great. Really appreciate that color, Bina. Second question for me, just as we think about investment opportunities, particularly in the U.S., can you talk about some of the appealing investment opportunities available today? And then how might that change in the event of federal reform by the way of rescheduling to Schedule III or otherwise as obviously, there's been a number of news reports that have come out recently on that.
Beena G. Goldenberg: Yes, sure. So everybody is waiting for the reschedule to Schedule III. And when that happens, we'll see when and if it happens. But the good news is that it's indicating or it's sending a message that cannabis continues to move along the trajectory towards legalization. It's slow. It's going to take some time, but getting the U.S. over that hump just opens up the whole category as being, again, a real category where investors will invest in it, they'll attract more attention. I think it will be good for overall industry. So we're excited about that as to if it changes from Schedule I to Schedule III, it doesn't really change the overall legalization, right? It's still illegal on a federal basis. So it doesn't change our ability to ship product into the U.S. It doesn't -- so from that perspective, we would still have the challenges with doing any kind of plant touching activity in the U.S. with -- that wouldn't be compliant with our NASDAQ or TSX listing. So I don't think it changes our position on plant touching in the U.S., but we're pretty excited about what we've been doing in the U.S. already. Not only do we see big opportunities on the beverage category, and we'll continue to invest there. But we've really seen some great results out of our relationship with Filos, our investment there in terms of the seed-based, working on some other really interesting cultivars and genetics that will help us really drive both yield and the Ram as we want. And so that continues to work. So we're pretty excited about continuing to focus on the genetic side as well. So the U.S. is interesting, but I would say in the short term, our M&A focus will be on international markets. because they're legal on the medical front, and they just open up more opportunities for us. So in the short term, I think that's the bigger focus for us while we capitalize on our existing investments in the U.S. market.
Operator: And that concludes our question-and-answer session. And I will now turn the conference back over to Beena Goldenberg for closing comments.
Beena G. Goldenberg: So thank you, everybody, for joining our call today. It will be my last earnings call. So I do appreciate the support you've given me and the opportunity to talk to our investors and our people that are interested in what Organigram's journey is all about. I know the business will be in good hands as we move forward. So thank you again for joining us today. Have a good one.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.